Operator: Welcome to MasterBrand's Fourth Quarter and Full Year 2023 Earnings Conference Call. During the company's prepared remarks, all participants will be in a listen-only mode. Following management's closing remarks, callers are invited to participate in the question-and-answer session. Please note that this conference call is being recorded. I would now like to turn the call over to Farand Pawlak, Vice President of Investor Relations and Corporate Communications.
Farand Pawlak: Thank you, and good afternoon. We appreciate you joining us on today's call. With me on the call today are Dave Banyard, President and Chief Executive Officer; and Andi Simon, Executive Vice President and Chief Financial Officer. We issued a press release earlier this afternoon disclosing our fourth quarter and full year 2023 financial results. If you do not have this document, it is available on the Investors section of our website at masterbrand.com. I'd like to remind you that this call will include forward-looking statements in either our prepared remarks or the associated question-and-answer session. Each forward-looking statement contained in this call is based on current expectations and market outlook and is subject to certain risks and uncertainties that may cause actual results to differ materially from those currently anticipated. Additional information regarding these factors appears in the section entitled forward-looking statements in the press release we issued today. More information about risks can be found in our filings with the Securities and Exchange Commission under the heading Risk Factors in our full year 2022 Form 10-K and updated, as necessary, in our subsequent 2023 Form 10-Qs, which are available at sec.gov and masterbrand.com. The forward-looking statements in this call speak only as of today and the company does not undertake any obligation to update or revise any of these statements except as required by law. Today's discussion includes certain non-GAAP financial measures. Please refer to the reconciliation tables, which are in the press release issued earlier this afternoon and are also available at sec.gov and at masterbrand.com. Our prepared remarks today will include a business update from Dave, followed by a discussion of our fourth quarter and full year 2023 financial results from Andi, along with our initial 2024 financial outlook. Finally, Dave will make some closing remarks before we host a question-and-answer session. Now with that, let me turn the call over to Dave.
Dave Banyard: Thanks, Farand. Good afternoon, everyone. We appreciate you joining us here today for our fourth quarter and full year 2023 earnings conference call. This call marks not only the end of our 2023 fiscal year, but the end of our first year as a standalone public company. And I'm pleased to say, we finished the fourth quarter and full year stronger than anticipated. Net sales in the fourth quarter were $677 million, a 14% decline over the same period last year. This decline was at the favorable end of our expected range due to the relative strength of our customers servicing the new construction markets. Despite this favorable performance against internal expectations the year-over-year net sales decline was driven by lower volume due to continued overall softer end-market demand. From an operational standpoint, the company continued to perform well. We delivered adjusted EBITDA of $86 million in the fourth quarter and a related margin of 12.7%, 20 basis points higher than the same period last year. Our ability to deliver another quarter of margin expansion despite lower net sales on a year-over-year basis was due to continued disciplined use of our business system, The MasterBrand Way. Cost savings from continuous improvement efforts and strategic initiatives more than offset the negative impact of lower volumes and lower average selling price from trade downs and the return of normal seasonal promotional activity. Our strategic initiatives of Align to Grow and Lead Through Lean continued to deliver strong year-over-year savings, specifically in the areas of supply chain, productivity and quality management processes. I'll provide you with more details on this shortly. Our focus on working capital improvements helped us deliver another quarter of better-than-expected free cash flow of $33 million. Further inventory reductions, driven by our supply chain team and common box efforts, as well as improved collection systems and processes, drove this improvement. Our strong free cash flow performance in the fourth quarter was despite our decision to accelerate certain capital expenditures and benefit from discount opportunities. We were able to pull forward the spending due to the continued strength of operations and our constant readiness to execute on future capital projects. In total, full year 2023 free cash flow was $348 million, 191% of net income, surpassing our goal of delivering annual free cash flow in excess of net income. In addition to these impressive operating results, we continue to improve on our already-strong safety record. I'm proud to say that in 2023 we achieved an OSHA recordable rate of 0.84, a 19% improvement year-over-year. While we're proud of this industry-leading rate, our goal remains zero. Keeping our associates safe is core to our culture. As you can see a strong finish to an exceptional first year, none of which would have been possible without our dedicated associates. So I'd like to take a moment to recognize them. Their efforts, coupled with the tools of The MasterBrand Way, have helped drive engagement and a culture of problem solving at all levels of the organization. This culture allows associates closest to the work to best understand the challenges to bring this forward and address them. This can be in the form of a formal kaizen event or simply using the proven tools in our toolkit. In 2023, we once again saw the impact of this approach on our financial performance, with roughly $50 million of continuous improvement savings in the year. In addition to these savings, our associates continue to unlock hidden capacity at our facilities. This capacity and further advances in our common box initiative allow us to flex operations and align our manufacturing network with end-market demand in 2023, which help support our strong decremental adjusted EBITDA margin performance. Beyond financial and operational benefits, we look at lean as the ultimate engagement tool. When associates are leading change within their own plants and they see their decisions in action, they feel empowered, which drives higher engagement, and our engagement score reflects this. On a semi-annual basis, we completed an employee satisfaction survey and our satisfaction score continues to improve and outperform the manufacturing benchmark. While we are proud of these results in 2023, we believe we can deliver greater CI savings and become an even better place to work in the coming year. On that note, I'd like to speak about our plans for 2024, specifically how end markets served by our customers finished last year, and then demand environment we expect for 2024, along with the opportunities we have to invest in growth and drive operational efficiencies to achieve the long-term financial targets we introduced at our 2022 Investor Day. US single-family new construction was a bright spot in the fourth quarter of 2023, with relative strength compared to normal seasonality. We saw improving demand within some segments and regions throughout the fourth quarter, specifically large production builders. So much so that we kept a few facilities online for our anticipated two-week holiday shutdown. Declining mortgage rates and less interest rate volatility, along with a solid inventory of spec homes, has helped drive demand in the single-family new construction market. Large production builders in particular were able to capitalize on this pent-up demand for housing and we've seen this strength continue into the first quarter of 2024. We expect to see this strength to continue through the year resulting in mid-single-digit year-over-year growth in 2024 in the new construction market, with large and medium builders performing the best. The demand these customers are seeing points to the fact that there is an underlying need for housing, even in the current interest rate environment. While there could be upside to this demand forecast, we are also cognizant that builders may see constraints in land and labor, along with potential for some supply chain disruptions in certain categories. We think our view of the market and single-family new construction is balanced between the potential demand and the potential constraints. Overall, we're optimistic about new construction as we saw momentum develop at the end of 2023 and carry forward into 2024. We think recent indicators validate the underlying demand in the housing market from years of underbuilding, which bodes well for our current and long-term outlook. As for our dealer and retail customers who primarily service the repair and remodel market, performance followed a similar trajectory to prior quarters with demand down in the mid-teens year-over-year. This demand environment showed up in both our retail and dealer channels. While the fourth quarter is usually the softest quarter for repair and remodel due to normal seasonality, we believe this market remains down as consumers are prioritizing other spending and being more thoughtful of large ticket items in general. We continue to see consumers look to lower their total project costs, extend decision lead time and choose fewer features in their orders. Accordingly, we expect to see this portion of the market remain softer in the near term as we annualize these impacts, particularly in the first quarter of 2024. In total, we expect the US repair and remodel market for cabinets to be down mid-single digits for 2024, with more significant year-over-year declines early in the year as consumers remain cautious about spending, particularly on larger ticket items. In Canada, both the new construction and repair and remodel markets remained weak through the fourth quarter and experienced double-digit declines. We currently expect to see soft end-market demand continue in Canada with the market being down high-single digits year-over-year in 2024. This outlook is based on new housing starts being meaningfully lower and repair and remodel activity being down mid-single digits year-over-year. Taking into account the dynamics we're seeing in new construction and repair and remodel markets across North America, we would expect our overall market demand to be down low-single digits year-over-year in 2024. Andi will provide more color on our expected performance relative to this demand environment later in the call. Our assumptions factor in a moderate reduction in interest rates later in the year, which based on recent Federal Reserve commentary, appears probable. The key factors for us in our modeling are rate stability, which we are seeing today, and future rate reductions, which we have modeled in a similar fashion to the Fed commentary. With that environment, we expect a gradual improvement in existing housing turnover, along with a solidifying of demand levels for new construction as the year progresses. We also expect to experience a lag effect as smaller ticket R&R products will pick up sooner than our larger ticket products. While 2024 looks to be a transitionary year from a demand standpoint overall, we think the current rate trajectory coupled with the long-term gap in housing supply will bode well for our end markets as we move through 2024 and beyond. Given this market outlook, we are looking to build on the momentum we created in 2023 with our strategic initiatives and position ourselves for long-term future demand. Those of you that attended our 2022 Investor Day or watched the replay, you've heard me speak about the positive flywheel effect of our tools and culture and the competitive advantage it provides us. The financial and operational performance we exhibited in 2023 is evidence that this algorithm is working and we're ahead of schedule on our long-term targets. Our operations continue to mature with a strong pipeline of continuous improvement initiatives for 2024. As we improve operations and drive cost out of the organization, we have more bandwidth to focus our toolkit on growth and reinvesting in the business. Now I'd like to provide a little more detail on both these areas and the opportunity they present in 2024 and beyond. As I discussed on our last earnings call, MasterBrand's common box initiative and more standard work across the plants is allowing us to improve efficiency in many areas. The newest area of opportunity being our quality processes. As part of our Tech Enabled initiative, we're implementing technology to inspect product quicker and with a higher degree of accuracy. Since our last call, we've already launched some pilot programs. The technology being deployed provides both preventative and detective quality control, helping reduce quality issues and identifying them should they occur. Today, maintaining our quality standards require significant human decision-making. Once fully implemented, we believe these enhanced processes, automate many of these decisions, allowing for even greater productivity within our operations. Similar to our RFID deployment, this is another example of how our Tech Enabled initiatives can use proven technology and continue to drive efficiency and better outcomes in the organization. Utilizing these savings, we're increasing our investment in the business for growth. As part of our Tech Enabled initiative, our digital and technology team rolled-out a new customer portal in the fourth quarter, designed to improve the connection between us and our channel. The new MasterBrand Connect was built on industry-leading software and it will provide our sales team with a comprehensive customer view, including orders, cases and more. For our customers, it will ensure accurate order tracking, invoice access and a marketing material repository fostering a seamless buying experience. The rollout of this portal is well underway and we're making good progress on getting our dealers and distributors on this application. At the same time, our digital infrastructure team continues to make progress on cloud migration efforts. Implementing modern tools in this arena further expands the capabilities of any overlaying platform, providing near real-time data across multiple metrics both to our team and to our customers. In 2023, we made significant progress in delivering net near real-time data internally, which has allowed our teams to shorten the timeline for continuous improvement projects, both in the planning phase and the execution phase. In the past, we had to dig through various systems to find the data we needed to solve a problem, which often took weeks. Today, we can find the same answers in hours, and in many cases, minutes. As we continue to improve the functionality of our portal, we believe the improved experience will ultimately make MasterBrand easier to do business with and enable our customers and ourselves to gain share and outgrow the market. The additional investments we made in 2023 in our Tech Enabled initiative had increase the pace of change across our organization. As we absorb that change culturally, we want to keep driving forward. Given our outlook for the market and our internal outlook on performance which Andi will go into detail on in a moment, we've decided to continue the higher pace of reinvestment in our business in 2024. We have great momentum and want to stay ahead of the eventual improvements in demand by making these additional investments now. Now, I'll turn the call over to Andi for a more in-depth discussion of our financial results and additional details on our 2024 outlook.
Andi Simon: Thanks, Dave. I'll begin with an overview of our fourth quarter financial results and I'll touch briefly on our full-year 2023 financial highlights. Lastly, I will provide our thoughts around 2024 and our full-year outlook. Fourth quarter net sales were $677.1 million a 13.7% decline compared to $784.4 million in the same-period last year. Our top line performance was primarily the result of expected volume declines in the market along with a slight softening in our net ASP, largely due to continued trade-down activity and the return of anticipated targeted promotions. Gross profit was $223.1 million in the fourth quarter, up 3.8% compared to $215 million in the same period last year. Gross profit margin expanded 550 basis points year-over-year from 27.4% to 32.9%. This year-over-year margin expansion was driven by consistent execution on MasterBrand's strategic initiatives specifically, supply chain efforts, continuous improvement and cost actions, which more than offset the effects of reduced volume, trade downs and personnel inflation, including variable compensation. Similar to last quarter, gross profit again benefited from some discrete items in the period. Most notably, we received the final insurance proceeds of $3.2 million related to the tornado damage sustained at our Jackson, Georgia facility earlier in the year. Selling, general and administrative expenses were $152.4 million, 5.5% lower compared to the same period last year. The absence of corporate allocations from Fortune Brands and lower outbound freight and commissions due to volume declines more than offset personnel inflation, cost of being a standalone company and increased investment in our strategic initiatives, particularly Tech Enabled. Net income was $36.1 million in the fourth quarter, a 134.4% year-over-year increase compared to $15.4 million in the same-period last year. This increase was primarily driven by higher operating income due to a $20.4 million asset impairment charge in the prior year quarter that did not reoccur. This coupled with lower year-over-year restructuring charges, more than offset higher interest expense in the quarter compared to the prior year. 2023's restructuring charges relate to our decision to exit an idle facility and the rightsizing of our Canadian manufacturing network, resulting in a $6 million restructuring charge in the fourth quarter as compared to $14.2 million in the prior year quarter, related to various market and footprint capacity adjustments towards the end of 2022 as demand softened. Interest expense was $15.3 million in the fourth quarter compared to $2.2 million in the same period last year. This interest expense relates to debt necessary to fund the dividend to Fortune Brands at the time of the spin-off. Income tax was $7.1 million or a 16.4% effective tax rate in the quarter compared to $4 million or a 20.6% rate in the fourth quarter of 2022. Please keep in mind the fourth quarter tax rate is the relevant rate equating to the difference between the prior quarters year-to-date rate and the actual annual effective tax-rate. Diluted earnings per share were $0.28 in the fourth quarter of 2023 based on 129.9 million diluted shares outstanding, an increase from diluted earnings per share of $0.12 in the fourth quarter of last year based on 129.1 million diluted shares outstanding. Adjusted EBITDA was $85.8 million compared to $97.8 million in the same period last year. Adjusted EBITDA margin expanded 20 basis points to 12.7% compared to 12.5% in the comparable period of the prior year, despite lower sales. Similar to what we've achieved in prior quarters, our strong margin performance was driven by continued execution on MasterBrand strategic initiatives, particularly around supply chain improvements, productivity and restructuring savings. The quarter also benefited from discrete items which were included in our revised outlook, primarily the $3.2 million of insurance proceeds we mentioned earlier. These items together more than offset year-over-year volume declines, the impact of trade downs and personnel inflation. Moving on to our full year results, we delivered net sales of $2.7 billion in 2023, down 16.8% over the prior year. Our year-over-year topline result was primarily driven by market-related volume declines. However, our early pricing actions in 2022 contributed to a favorable year-over-year ASP in 2023 despite increased trade down activity. Gross profit was $901.4 million, down 4.2% compared to $940.5 million last year. Gross profit margin expanded 440 basis points year-over-year from 28.7% to 33.1%. Full year margin expansion was driven by higher net ASP, supply chain efforts, continuous improvement initiatives and cost actions, which more than offset lower volume, trade downs, personnel inflation and investments in our Tech Enabled initiative. Selling, general and administrative expenses were $569.7 million, down 12.2% compared to the same period last year. As a reminder, in 2022, we were allocated a portion of Fortune Brands' costs. In 2023, we have standalone costs. If you compare the impact of the two, it was a net savings year-over-year in 2023 as anticipated. These savings coupled with lower outbound freight and commissions due to volume declines more than offset personnel inflation and roughly $15 million of strategic investments in the business. Net income was $182 million compared to $155.4 million in the prior year. The increase was primarily due to an asset impairment charge of $46.4 million in 2022 that did not reoccur in 2023, higher amortization and restructuring charges in 2022 and a lower 2023 income tax expense. This was partially offset by interest expense of $65.2 million for the full year 2023. Diluted earnings per share were $1.40 in 2023, up from pro forma diluted earnings per share of $1.20 in 2022. In the first three quarters of 2022, pro forma diluted earnings per share were calculated assuming that there were no dilutive equity instruments prior to the separation, as there were no MBC equity awards outstanding. Adjusted EBITDA was $383.4 million in 2023, down 6.8% compared to $411.4 million last year due to volume declines in the market and personnel inflation, partially offset by higher ASP, supply chain and continuous improvement initiatives and cost action savings. Adjusted EBITDA margin expanded 150 basis points to 14.1% for the full year compared to 12.6% in the prior year. We are extremely pleased with our operational momentum and proven ability to deliver full year margin expansion on lower net sales. We surpassed the goals we outlined at the beginning of last year and we entered 2024 in a strong position to continue investing for future growth while preserving margins. Turning to the balance sheet. We ended the year with $148.7 million of cash on hand and $480.2 million of liquidity available on our revolver. Net debt at the quarter-end was $559.1 million, resulting in a net debt to adjusted EBITDA leverage ratio of 1.5 times, consistent with the third quarter of 2023. Our balance sheet remains strong with the financial flexibility to invest in the business for growth. Operating cash flow was $405.6 million for the 12 months ended December 31st, 2023 compared to $235.6 million in the comparable period last year. Our strong operational performance as well as our working capital improvement plans specifically around inventory management and collections drove this year-over-year improvement. Capital expenditures for the 12 months ended December 31st, 2023 were $57.3 million compared to $55.9 million in the prior year. As Dave mentioned, we made the decision to accelerate certain capital expenditures to benefit from discount opportunities, resulting in us slightly exceeding our CapEx guidance. Free cash flow was $348.3 million for the 12 months ended December 31st, 2023 compared to $179.7 million in the comparable period last year. This is a $168.6 million improvement year-over-year. As expected and disclosed in previous calls, cash outflows increased in the fourth quarter due to our last significant spin-related payment of Fortune Brands of roughly $30 million, increased capital expenditures and the slowing of improvement on our working capital. Finally, during the fourth quarter, we repurchased approximately $6.1 million of our common stock under our existing stock repurchase program. Now let's turn to our outlook. As Dave mentioned, we expect our overall market demand to be down low-single digits year-over-year in 2024 with performance varying by end market. For domestic markets, we expect to see mid-single-digit growth in US new construction and with US repair and remodel being down mid-single digits. Overall, we expect both end markets in Canada to be down year-over-year, as both new construction and repair and remodel markets continue to be soft. With that market backdrop, we anticipate our 2024 net sales will be in the range of down low-single digits to flat year-on year. Let me provide some additional color on the drivers of our net sales in relation to the market. Our 2024 outlook contemplates the continued effect of trade downs and a more normalized pricing environment, including customary promotions. We saw this pattern develop in the second half of 2023, so there is some annualization impact from the normal pricing and promotion environment in the first half of 2024, but we would expect to see less impact in the second half of the year as we get to normalized comparisons. We anticipate a more normal inflationary environment and we'll continue to evaluate price quarterly in response to that. As Dave mentioned, our 2024 outlook assumes big ticket repair and remodel will lag smaller ticket items, resulting in a timing difference between our net sales and a broad R&R market recovery. To offset this net sales headwind, we have a variety of new products and channel-specific packages that launched late last year and in the early part of this year across both the new construction and repair and remodel markets. As part of our Align to Grow initiative, we have tailored these products to satisfy the specific end markets and regions best-positioned for growth. As these products gain traction, these incremental sales will more than help offset the previously discussed impacts of trade downs and customary promotions. As we enter the year, we are pleased with our existing manufacturing capabilities. Our common box initiative provides the flexibility needed to adjust capacity up or down with demand. In 2023, this flexibility along with several cost actions allowed us to deliver margins beyond our expectations. This flexibility also provides us with ample capacity to service our customers as demand strengthens. We will continue to be nimble and adjust our manufacturing network as needed to address any future market conditions. This ability to flex manufacturing, coupled with our strategic initiatives and continuous improvement efforts, will allow us to offset the impact of softer sales and further invest in the business. As Dave mentioned, given the success of our early Tech Enabled initiatives, we plan to invest an incremental $20 million into this initiative in 2024. With 2024 shaping up to be a relatively stable year particularly from a demand perspective, we are taking this opportunity to further invest and position ourselves for future growth when a more robust demand environment returns. With this in mind, we expect adjusted EBITDA in the range of $370 million to $400 million, with adjusted EBITDA margin of roughly 14% to 14.5% for 2024. Interest expense is expected to be approximately $55 million to $60 million, and we anticipate a tax rate between 25% and 26%. We are planning 2024 capital expenditures to be in the range of $55 million to $65 million. This investment is approximately 1.3 times depreciation, which is within our stated long-term goals. Given the steps we have already taken to reduce working capital and these other factors, we expect free cash flow to continue to be in excess of net income for 2024, but the magnitude of working capital improvement in 2023 will not repeat. Now that we are a year into being a standalone company, we will also initiate earnings per share guidance. For 2024, we expect our adjusted diluted earnings per share to be in the range of $1.40 to $1.60. With that I would like to turn the call back to Dave.
Dave Banyard: Thanks, Andi. We're excited about the opportunity 2024 holds for us. Our ability to maintain adjusted EBITDA margins despite market headwinds while investing for future growth shows the strength of our culture, strategic initiatives and business model. We demonstrated the power of our culture and business in 2023, and we're excited to continue that momentum in 2024 and beyond. And with that I'll open the call up to Q&A.
Operator: Thank you. [Operator Instructions] And our first question comes from Garik Shmois with Loop Capital Markets. Please state your question.
Garik Shmois: Hi, thanks. First off, I was wondering if you could speak a little bit to how to better think about the cadence of the year with respect to sales and EBITDA margin. Sounds like first half is going to be a bit softer than the second half, part of that is comp driven, but anymore color as to how to think about how sales and margins should progress as the year unfolds?
Dave Banyard: Yes. Thanks, Garik. I think I'd say it's going to be a more normal year from a pace of demand. So -- and our normal years, you have a step down typically from Q4 into Q1 from a total demand standpoint. And you can look back on our filings, but I'll give you the answer. It's in the ballpark of mid-single-digits to high-single-digits, so the step-down from the revenue you generated in Q4 into Q1. And then, that picks up, particularly in the new construction side as you go into the spring building season, and that's -- then you have robust demand I'd say through Q2 and Q3 and then it starts tapering off towards the end of the fall and into the holiday season. So that's our normal pattern. And I think this year is shaping up in many ways to be normal. And I think we sort of started seeing some of that normalization in Q3 and Q4, both from a demand standpoint as well as from a pricing standpoint. So, really, I'd say the only kind of things that we're -- we have to overcome is that annualization of some of that trade-down effect and the normal promotional, because back last year at this time, we weren't seeing any promotion at all in the market and still -- people were actually still raising price, I think in some cases. So, I think that's the trajectory of the year. As we see our performance against that, I think in Q1 we were kind of aligned with that. And then as we go into Q2, a lot of the programs that we've launched that Andi highlighted start really coming through, because again they tackled both new construction as well as repair and remodel. And obviously, there is demand today in new construction and that helps. And so, we've seen some good uptake on those programs already. That demand really doesn't come through until you start getting into the second quarter.
Garik Shmois: Got it. I do want to ask about some of the new products and programs that you recently launched. Hoping you could go into a little bit more detail, it sounds like it's a bit of a split between repair and remodel and new construction, but any more color as to how you're specifically targeting those different end-markets and maybe speak to the different price points that these products are targeting?
Dave Banyard: Yeah. So, I think the best example is one we've launched last year which was -- which basically allowed us to work the trade-down program with new construction. But I'll give you, starting -- you sort of take a step back for a minute, the whole point of our Align to Grow initiative is to really segment your customers in a way that you understand exactly what they need and then build an operating capacity that can deliver that to the customer. And we've made a lot of progress on that over the past several years, but last year, more importantly, was really getting that specific segmentation down properly and having the machine behind it, if you will, with our plants and supply chain footprint to be able to deliver the full breadth of MasterBrand in a lot of different ways to a lot of different customers. And so, I wouldn't say -- there's no big bang in any of this, there is no one magic product that wins the day. It's a lot of smaller changes that you're conforming what certain customers need. And if you have a very seamless operating model behind it, you can slide those customers as well as the consumer eventually. But I mean, when you're talking new construction, it's often a very large customer that's doing it in mass. You can slide the scale around a bit and really provide them with a full package of what they need to be successful and you have to solve that problem operationally, which we have done a lot of work to be able to do in a very cost effective way. So, that's a big part of it. When we talk about packages that we're offering to specific customers, it's around being able to bring the full breadth and benefit of MasterBrand to our customers with whatever they need. Then, obviously, there's a lot of style changes that occur. There are different products, configurations that are more style focus that we're launching. And that's really what I call a normal process that we do every year, but if you remember back to the way I described the COVID years, it's very difficult to do that from a supply chain standpoint, and so we spent a lot of last year, making sure we got the right, new styles, new colors and those sorts of things lined-up so that -- and some of them launched again in the latter part of last year and then bringing that full platter of new styles and designs. And that's I'd say that's more normal course. We wouldn't expect to necessarily change the dynamic of our pace of business with those things, but you have to do them. Really the change that we think really helps us outperform the market this coming year is the way we're tailoring various programs to various customers.
Garik Shmois: That's helpful. Last question is just on the trade-down comments. It's been a headwind for several quarters now. It sounds like you're anticipating that you're going to anniversary the worst of it in the first half of the year. But just curious as to, maybe has the pace of the trade-down behavior stabilized at all? Any -- is there anything that we should be looking out for to give us confidence that indeed in the second-half of the year that it should be stabilizing?
Dave Banyard: Yeah, I think it's follow the trajectory that we expected through Q3 and into Q4 and the commentary we gave on it at the previous earnings call came to fruition. I'd say the reason we outperformed a bit to the higher end of our internal expectation was, there was a bit more activity in volume that we were able to drive, particularly in the new construction market. But now it's been very well-received. The way we're going about delivering different products that ultimately results in a trade-down has been well-received. And frankly, that's the case in both end-markets, the new construction and R&R. But, no, I think the pace is such that it feels like this is being well-received and I don't anticipate the need for any additional changes there.
Garik Shmois: Sounds good. Okay, thanks for that. I'll pass it on.
Operator: Thank you. [Operator Instructions] Our next question comes from Tom Mahoney with Cleveland Research. Please state your question.
Tom Mahoney: Hi. Good afternoon. Just a follow-up on the question about promotions normalizing. Are you finding -- are there any types of promotions that are having success moving consumers into projects? Do you find that maybe leads are running stable, it just takes some incremental promotion to convert them? Or are promotions more aimed at driving that lead activity, get customers interested in the first places? Any way to characterize those?
Dave Banyard: Yeah, it's a fair question, Tom. I think it depends on the channel a little bit. I would say that your larger format retailers are going to use that promotional arm to drive traffic a bit more than your dealers because you can get other things in those retailers. So, you don't go to your small dealer to buy hammers and so on and so forth. So that the major retailers will use promotion more broadly to drive foot traffic in the store. But then, once you've reached that point, it's really more, you know you follow your sort of logic pattern out. First, try to get the consumer to buy the product that they can afford by sliding them down and that's where the trade-down comes into play. If you can get them into something that they're happy with and excited about at a lower price point, you don't have to talk about promotions. And that's why I called them more normalized, because then you use the promotion as a targeted activity for certain deals that you're trying to get done. For example, if you have a consumer that's at a high-end product, you're probably not able to slide them down and -- if they're doing a very expensive kitchen, but you might need that to nudge them over the edge in the current environment. So, I think, it really does depend, it's very tactical in a lot of ways. We look at it as an executive team as kind of overview of how are we functioning of moving the consumer where they want to be and then we -- our sales team is very adept at executing on the tactical side of that.
Tom Mahoney: Understood. And then, kind of also getting at the competitive environment, there have been some recent upticks in transportation costs. And I think a topic for 2024 as well is the potential for tariffs to enter back into the conversation. Can you describe the competitive environment? I guess, first of all, MasterBrand's exposure to those two things and then the relative exposure of MasterBrand relative to competitors as potentially transportation costs pick back up here and then as tariffs enter the conversation?
Dave Banyard: Yeah, sure. I guess, I'll break it apart. I'll talk about the cost side of it. I think obviously, we're paying attention to it and we bake that into our basket of how we think about inflation in general. Our supply chain team weathered what's probably the worst storm if you could ever have in our business over the '22 and '21 time periods and so I think we're pretty adapted. This is nothing compared to that. So, I think their process is pretty well-established on how to navigate when you have transportation scenarios, both on the ocean or even in the trucking world. So, we pay attention to it. I think we'll monitor it over time. I think you're seeing some uptick right now, but generally what happens is as the market normalizes so does the cost. And so I think if the new normal is you can't go through the Suez, then yes, it's a little more expensive to go around the horn, but I think the pricing always reacts first and then normalizes over time. So we're paying attention to it. Tariffs, I don't have any crystal ball on what the government's going to do on that. So again, we react if necessary. And we're obviously very active when it comes to discussing these matters with the Department of Commerce as well as our various representatives because we cover a lot of the United States in that regard. So we have a lot of conversations with Congress around these topics. In terms of the competitive dynamic in that, I don't know how well they performed during the tumultuous period of the COVID years, but I think we outperformed them. I would not ever bet against my competitors figuring things out because there's some good competitors out there. So I'm sure that some of them have figured that out, but I think we've highlighted in the past that our competitive product in that space has been strong. It's served us very well. I'll highlight our Mantra product line grew high-teens last year. In the face of the market we're in, that's I think pretty great performance. There may have been some cannibalization of our own with the trade down effect, but I still think I would challenge -- if you look at import numbers, I would challenge any of those competitors that whether they grew at that rate. So I think we have a great product and that's part of -- part of our product introductions are to continue to build out that product and -- because consumers love it, as do our channel. So it's another piece of the competitive puzzle, but that's what we do every day is figure out how to win.
Tom Mahoney: Understood. Thanks for the time.
Dave Banyard: Thanks, Tom.
Operator: Thank you. There are no further questions at this time. I will turn the floor back to Farand Pawlak for closing remarks.
Farand Pawlak: Thank you, operator, and thank you, everyone, for joining us here today. We appreciate your interest and support, and look forward to speaking with you in the future. This concludes our call.
Operator: Thank you for joining MasterBrand's Fourth Quarter and Full Year 2023 Earnings Conference Call.